Operator: Ladies and gentlemen, thank you for standing by, and welcome to CONSOL Energy's First Quarter Earnings Conference Call. As a reminder, today's call is being recorded. I would now like to turn the conference over to the Vice President of Investor Relations, Mr. Dan Zajdel. Please go ahead, sir.
Dan Zajdel: Well, thanks, John. I'd like to welcome everybody to CONSOL Energy's First Quarter Conference Call. We have in the room today Brett Harvey, our Chairman and CEO; Nicholas DeIuliis, our President; David Khani, our Chief Financial Officer; and Jim Grech, our Chief Financial Officer. Today, we will be discussing our first quarter results. Any forward-looking statements we make or comments about future expectations are subject to the business risks we have laid out for you in our press release today as well as in our previous SEC filings. We also have slides on the website available for this call. We will begin our call with prepared remarks today by David Khani followed by Brett Harvey. Nick and Jim will then participate in the Q&A portion of the call. With that, let me start the call with you, David.
David M. Khani: Thank you, Dan. Good morning, this is David Khani, the Chief Financial Officer for CONSOL Energy. This morning, I will provide a quick overview of the quarterly results, key highlights or themes for the quarter and then provide some insight into our guidance as well as trends to help you model our company. I will then pass it on to Brett who will focus on our strategic plan. As Dan mentioned, we have an updated earnings slide deck that we will refer to at times throughout the earnings call. I hope you've had time to digest the earnings release and slides, both posted earlier this morning. So moving over the earnings results. If you look at Slide 3, we reported recurring earnings of $0.19 per share diluted, excluding the 3 and frequent unusual items and incremental title defects impact. We posted a GAAP loss of $0.01 when you include these items. Overall, coal operations ran well, our marketing and sales team exceeded our forecast and we continue to invest in our core businesses while maintaining our strong liquidity position. I want to discuss the pension settlement expense that was triggered in the first quarter, addressed in one of our appendix slides, in more detail. We accrue pension liability on our balance sheet and fund our pension every year. If we have lump-sum payouts above our service and interest costs, we trigger a pension settlement charge which expenses unrecognized pension losses as well as it's remeasured every quarter as assets and liabilities. Over the past 7 years, we have averaged about $40 million per annum of lump-sum payouts. This year, we triggered a settlement expense in part because at the end of last year, we offered a voluntary severance program to our 30- served -- year service employees. About 100 took this package, nearly all took lump-sum payments in the first quarter. Once you trigger this pension settlement in any particular year, you are subject to expensing these impacts in every quarter throughout the year that year. As a result, we expect to see further expense recognized in 2Q through 4Q while based on historical trends, we would expect that these amounts would be recognized and expense would be much more materially lower than expense in the first quarter. Now moving over to themes for the quarter. Our coal division performed very well in the quarter and produced 14.8 million tons or about 900,000 above forecast. This is impressive despite our unusually high 7 longwall moves and having our Blacksville Mine down for almost a month in the quarter. As our Chief Commercial Officer, Jim Grech, had noted in the prior quarterly call, the global coal market was in a restocking mode and our marketing sales team was able to capitalize on it. In the quarter, our domestic and export customers took nearly 100% of their contracted coal as well as another 400,000 tons of our inventory. Our inventory now sits at 15-year lows. The coal inventory within our target PJM market has fallen -- has been falling and now sits below the 5-year average. All of this sets the stage for a better 2014 contracting period. Second key theme and corresponds to Slide 4. Our coal costs were solid at $50.69 or 7% below last year's cost, nearly offsetting the 8% decline in prices. While our portfolio of longwalls overall ran well, Buchanan unit cost declined sharply from higher production, reduced labor force and the new Horn Mountain Portal. We have implemented robust cost control measures since fourth quarter of 2011 and we'll continue to find ways to maintain strong margins. Third key point and ties to Slides 6 and 7. Despite the downturn in prices, we've been able to invest in our core businesses while maintaining a strong liquidity at $2.4 billion. Now moving over to guidance and review and some of the changes that we see coming forward. At the start of 2013, we provided 2 shifts in our coal marketing approach. One, we reduced our met coal sales expectations to about 6.3 million tons from about 10 million tons of sold over the last prior years. And second, we provided a wider than normal export sales range of 5 million to 10 million tons versus 10 million to 12 million previously. Both of these shifts were tied to an expectation for stronger domestic thermal demand and weaker met export trends. We will continue to match supply and demand to limit the downturn on our low cost longwall operations. Overall, we have maintained our 2013 sales guidance at around 56.5 million tons which incorporates our better than expected first quarter sales levels and also recognizes a significant downtime in the second quarter that we expect out of Blackville for most of the quarter. We, however, have raised our low coal vol met sales by about 200,000 tons within this guidance. On Slide 9, we highlight that our gas and liquids production forecast remains unchanged at about a 12% growth rate and that is based on the midpoint of our guidance. We expect to tie in almost double the amount of wells in the second half of this year versus the first half, most notably from our Marcellus operations. This quarter marks the first quarter in the last several years where our realizations actually posted a year-over-year increase and this highlights the shift that we've been towards our liquids production to increase and get balance. For our gas division. Looking ahead, we're expecting to see a significant margin expansion over time from 2 key underlying trends: declining unit production costs and higher realizations. We expect to see declining unit overall total unit costs as the Marcellus volumes rise. Marcellus production grew about 60% in the first quarter versus the year ago period. If you look at Slide 10, it highlights the mix shift going on between our low-cost Marcellus and our high-cost conventional gas. Marcellus is expected to represent about 34% of our total gas volumes quadrupling from the 2010 levels. If you look at Slide 11, and why this matters, you'll see that the graph shows that the cost differential between our Marcellus and our conventional is about $2 per MCF. Partially offsetting the expected decline will be an increase in gas processing, firm transportation and higher production cost coming from our wet areas. The second driver for margin expansion is higher realizations. We expect to realize higher price realizations as liquid production rises from 0 production today in 2012 to about 5% in 2013 but we expect a meaningful ramp in 2014 and beyond. Our first quarter price realizations were improved by about $0.10 per MCF for our liquids volumes. This margin expansion excludes the benefits of rising natural gas prices. Hedges. In the last month, we hedged another 6% more of our gas volumes for 2013 as prices went above $4. We also layered on a modest amount of hedges for 2014 to 2016. Moving over to coal contracting. We remain very well contracted on the thermal side and have about 2 million tons of unpriced met coal remaining for 2013, of which half is already contracted and just -- but just not priced. I'd also like to note that we've had some timing adjustments in the second quarter of met coal deliveries and this is impacting some of the calculation you'll do for incremental contracted tons. Moving over to coal cost. We expect coal cost to remain relatively flat with 2012 levels at around $52, $53 based upon our current coal production forecast. We will continue to manage costs but as we noted in the last quarterly call, we face increases from adding 3 new longwall leases and as well as having labor rate increases. G&A. We posted about 13% decline in our SG&A expense in the first quarter. Driving this improvement was tight cost controls and the recent voluntary severance program that we noted earlier. We expect to see a modest increase in the next few quarters but overall, we expect to be flat year-over-year on SG&A. So as you can see, we have not sit idly by waiting for commodity prices to rise and we've been very active. Now with that, I'll pass it over to Brett.
J. Brett Harvey: Thank you, Dave. It's good to be with you again to talk about CONSOL Energy. We're in an economy where the energy industry can be segmented into low-cost survivors and marginal players. CONSOL Energy is definitely a low-cost survivor. We have a portfolio of Tier 1 assets in both coal and gas that are directly involved in low-cost production. We have the financial strength to grow both coal and gas, and for example, coal will be up 8% in capacity when BMX finishes in 2014. And in 2013 alone, we plan to be up 15% in gas. This is without borrowing money to grow. I think that's an important thing, that's -- the margins of low cost create cash to grow the business when you have good assets. Having this portfolio means that our earnings should be more consistent over time. This also means that we should trade at a higher multiple than our peers. Now let's see where we are right now. Lingering cold weather has lowered coal inventories at generators and producers, all in our region. I had thought we'd seen an inflection point in 2014 on coal pricing but now, I think we'll see it in 2013. The coal market in Northern App is very tight. We ended the quarter with our inventory -- our own inventories at CONSOL Energy at a 15-year low. We are seeing domestic generators take all the contracted coal tons that we've sold to them. Low inventories along with higher gas prices should strengthen our bargaining position with generators for 2014 sales. With gas prices now over $4, CONSOL Energy benefits in 3 ways. We receive higher realization on unhedged gas volumes as our volumes rise as we grow that business. We receive a drilling carrier from our partner, Noble Energy and on the Marcellus JV. And it also drives up thermal prices as utilities move back to coal as a counter to higher gas prices. So low cost equals margin expansion in coal and gas. In the baseball vernacular, I would say that's a triple for CONSOL Energy. But we haven't been sitting here waiting for the gas prices to rise. As David mentioned, we took 4 steps to dramatically lower our unit cost and you see that at our low-vol Buchanan Mine, we lowered our costs at the point that generates $47 per ton margins and we also, as he talked about, have reduced our overhead to react to where we think we are in the marketplace. Across all of our mines, we've been more efficiently coordinated in marketing our operation's efforts. We are in the position that we're marketing seasoned markets. Where they need more coal, we can run the longwalls at a harder rate to supply the demand. Development is in a surplus position. Our operators have put us in a good position in this slow marketplace. Jim Grech, who is here with us this morning, is now selling coal overseas to a much more diverse community and countries and customers across the world. We look to expand our base because of our low-cost position to take away risk for our shareholders as the markets rise in the future. We can sell coal from the Pittsburgh #8 seam as high-vol coal to the Chinese steelmakers, as PCI coal to the Brazilian steelmakers or thermal coal to our domestic markets, it's the same coal. Our strategy is to produce locally and sell globally. In today's world, a growing resource nationalization, that is a risk advantage for our shareholders. Now let's talk about our strategy. I inserted a detailed strategy statement in the earnings release but let me touch on a few of the high points. As I said last quarter, we will finish the BMX Mine in about 12 months from now. We will have finished our investments for growing the coal business. We expect our coal business to generate free cash flow. After that point, we'll either invest the cash in high rate of return gas to liquids business and the gas business itself as gas prices rise or we'll do something shareholder-friendly with the cash and bring it back to our shareholders as I talked in the past. We have grown this company through a recession. We're in a position to throw off cash as we finish these capital projects. That is a unique position in the energy world. What we have is a minimal interest in acquiring any competitor coal company. We see some assets that we might pick up if they were distressed but we are not out looking for other coal companies. We continue to monitor -- look at the process of monetizing assets, core and non-core, we've talked about that and we continue to broaden that to see that if our structure and value of our shares are being moved forward for our shareholders. So what part of our story has the investment community not fully picked up? We have actively managed our business to be successful in good times and bad times. We will soon be in an inflection point on the coal CapEx investment side. We've taken our free cash flow and invested wisely so that when the energy markets turn, we'll emerge as a strong competitor in coal and gas, and our production will be larger, and our revenues will be much higher. So this equates into margin expansion which is good for our shareholders. We have upside potential if we can successfully monetize some of the assets that we don't think we're receiving value on our share price but let me reiterate, this is not a fire sale. If we don't get good prices, they're already part of our company, we'll look at it as time goes by. With that, let's open it up for questions.
Dan Zajdel: Okay, John, could you instruct the listeners to [indiscernible] for questions.
Operator: [Operator Instructions] And the first with John Bridges with JPMorgan.
John D. Bridges - JP Morgan Chase & Co, Research Division: I just wanted to dig into the strategy. We applaud your strategic sense, you're the only company I can think of that was trying to sell coking coal into the peak [indiscernible]. But I just wanted to dig into the sort of tension between shareholders who are looking at separate companies, gas companies, separate from coal companies and obviously their corporate managers who want more stable and have duties to deliver more stable bottom line. Could you talk a little bit about that, especially with respect to the possibility of having separate shale gas and coal businesses?
J. Brett Harvey: Sure. I think that's something that we always need to look at. We have 2 great divisions. First of all, we bought the opportunity from Dominion to create a huge gas company. We found that there were great synergies, between -- because of the footprint, we found there were great synergies between coal and gas on the same footprint geographically. That has been very successful for us and we think that success will continue to go. But over time, I think they are 2 different industries and we should look at that on a regular basis. I can tell you this, that our gas business is as strong as any gas business in the region and our coal business is a premier coal business and it has been for 150 years. So we have 2 great assets. I think it's up to us to look at it from that perspective. And over time, I think the board and management will add value to our shareholders by looking at it that way.
John D. Bridges - JP Morgan Chase & Co, Research Division: Okay. Great. As a follow-up, you've mentioned selling core businesses in transportation. What's the thought process behind that?
J. Brett Harvey: Well, you need transportation for all of the -- to move all these great resources, pipelines, barge lines, all those kind of things that move energy. But you don't have to own them all if you can have a structure put in place to where you have access to all this and you can redeploy value that is not recognized in our share price frequently and you redeploy that value to continue to grow your big assets.
John D. Bridges - JP Morgan Chase & Co, Research Division: So as you could sell those in a competitive environment, not a noncompetitive environment?
J. Brett Harvey: That's exactly right. You sell them into an environment where you still use them but you redeploy the value of them back to what we're valued for, coal and gas.
Operator: Our next question is from David Gagliano with Barclays.
David Gagliano - Barclays Capital, Research Division: I just have 2 quick questions. First on the Buchanan costs moving forward. Is there any reason to expect those -- the cost performance that we saw on the first quarter to change in the out periods?
David M. Khani: The only thing that will cause it to change is volume. So if we can continue to sell at volume, the unit costs will stay the same within reason, within an inflation rate. But if the volume goes up or goes down, then the unit costs will move around.
David Gagliano - Barclays Capital, Research Division: Okay, all right, thanks. And then the second question actually, David, you alluded to timing adjustments impacting the calc for the contracted met tons. Can you expand on that a bit? Did you price -- specifically, did you price met in the second quarter? If so, how much? What was the quality and what was the price?
David M. Khani: Yes. I'm going to let Jim Grech answer that question.
James C. Grech: David, what David Khani was referring to was the timing of shipments. When we have that portfolio, we don't want anybody to just look at the incremental -- what looks like an incremental change in the portfolio because the base portfolio shipments get moved to later in quarters or other shipments get moved up. The whole portfolio is moving around. So that was what David was referring to when he said timing.
David M. Khani: So we did sell longer contract per tons in the second -- for the second quarter.
James C. Grech: Yes. I'm sorry, the second part of your question was, David, so to make sure I answer it. You're asking did we sell contracted tons, new low-vol sales in the second quarter?
David Gagliano - Barclays Capital, Research Division: Yes. I'm actually, what I'm trying to get to is the -- clarifying why your 2013 expectations were realized, met prices were contracted and priced, volumes went from 1 15 to 1 07. What changed in Q2 to drop the full-year number from 1 15 to 1 07?
J. Brett Harvey: Overall, David, the world pricing has gone down and we are participating in the spot markets with our Buchanan coal as an example. In the first quarter, we sent 4 vessels of coal to China, Buchanan coal, which is very important to us. In the China market, it's a very competitive market, so when you put that into the overall average pricing, then it would pull it down but the coal is going to China. As we said, we were making -- still making very good margins on the coal going to China. And strategically, it's a great move for us because our Buchanan coal, David, wasn't that well established in China as a stand-alone product. And so with the coal back in the market from other producers, shifting coal in that market has opened up opportunities for us to get our coal in there and get other people comfortable with it to using our coal and so when the market turns around in China, we have a bigger customer base to draw upon. So that would be one of the main reasons that the average price that you are referring to went down.
David Gagliano - Barclays Capital, Research Division: Okay. Let me try one more time on the forward look on the second quarter 2013, as well as Q3 and Q4 2013. How much met coal low-vol did you price and what was the netback price for that volume?
J. Brett Harvey: David, we don't get into the specific pricing or give out the specific pricing on the coal that we sell. The incremental coal that we are selling so far has been mainly going into the China market. So it would be the same, consistent pricing that you're seeing in the first quarter. We do have some shipments going to Brazil as well, which nets us back different pricing. But the majority of our incremental sales that we are doing this year out into the future that you're asking about, has been to China. So that would be the type of pricing that you'd see.
Operator: Our next question is from Richard Garchitorena with Crédit Suisse.
Richard Garchitorena - Crédit Suisse AG, Research Division: So my first question, just on the details on the strategy going forward, I know last quarter, you had a slide which showed 2013 asset sales including the Noble installment of 4 55 to 6 40. Has that target changed at all for this year?
J. Brett Harvey: No, it hasn't. We're very active on our sales. Timing and cash flows and when it comes, we do know the Noble payment's coming and the rest of it's going to be whether we're satisfied with the timing and value of the sales. So it's a little bit lumpy but we still plan to do it the way we described it.
Richard Garchitorena - Crédit Suisse AG, Research Division: Great. And my one follow-up, you did talk about selling the coal and gas transportation infrastructure. Can you tell us, is it strictly an asset sale process you're looking at right now or there's been a lot of speculation around other options such as MLP. Can you elaborate on that at this point?
J. Brett Harvey: We're looking at all of them. And that's as much as I'm probably going to elaborate. We're not going to shut down either process that we have going on but and so we want to keep the flexibility to look at all options.
Operator: And next go to Lucas Pipes with Brean Capital.
Lucas Pipes - Brean Capital LLC, Research Division: My first question is on the natural gas side. Prices have looked a little bit firmer. You have a really great position in the Marcellus Shale. At what levels or are current levels enough for you to maybe look to add a couple rigs?
David M. Khani: I think when we look at our Marcellus performance through the last 18 months or so and then project that out for the remainder of the year and into '14, this year, we're on path between ourselves and Noble to drill just over 120 wells in the Marcellus. The majority of those, call it 70%, are going to be in the wet area, okay? So when the incremental -- and that's a pretty aggressive drill plan when you look at the logistics, at everything that need to be done to get the wells -- the sites prepared, the wells drilled and to tie in the line. So the upside for additional drilling, if gas prices continue to strengthen, will be in the dry areas where we got really, when you look at it, our cumulative history exists. So that's the Central Pennsylvania; Greene County, Pennsylvania and Northern West Virginia areas. Right now, as I said, the plans are 121 wells between ourselves and Noble. The Utica, we're at 27 wells, that's probably going to be a pretty firm number there for the Hess and CONSOL portions of that. And if gas prices continue to strengthen and we want to look at or contemplate additional drilling, it most likely will be in the dry area of the Marcellus.
Lucas Pipes - Brean Capital LLC, Research Division: And then my follow-up question for James on the met coal side. Just in terms of your strategy there, would you say you wanted -- given your cost structure, you want to kind of capture more market share with your marketing partners, is that the way to think about and that's maybe why also, prices are a little bit lower than where they have been?
J. Brett Harvey: Lucas, yes, we've been trying to get more markets for the Buchanan coal working with Xcoal and developing these markets. And some of the markets have better returns than others. The China market's a competitive market. We've also been expanding the use of our Buchanan coal down in Brazil with a new customer and we've taken back some business that we lost at an old -- a customer that we had before in Brazil and those prices there have a stronger price point than we get in China. So we're not selling coal below-market anywhere to get into the market. We're pricing at market, we're just saying with our cost structure and the market prices that are out there, we're able to go in and pick up some new customers.
Operator: And next we go to Brandon Blossman with Tudor, Pickering, Holt.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Jim, just one quick follow-up on the met pricing. So this quarter and perhaps a little bit last quarter, obvious disconnect between spot pricing and benchmark. Can you comment both on how you see that market, the disconnect there evolving over time? And for the new customers that you're bringing on in China, do you think that eventually as they get to be comfortable with coal and better, longer-term customers, that you'll see a move back to kind of a relationship-based, more even pricing that's a bit less or a bit more than what you see in the spot market?
David M. Khani: Brandon, on the disconnect, I think your question was on BMA, the quarterly pricing and what's going on in the spot market. And in the market that we're dealing in a lot right now, the incremental markets, China and down in Brazil, that quarterly pricing really was just a reference point, a directional number. But the pricing is really on a vessel-by-vessel basis depending on the situation I'll say, at that point in time during that week. So off of that BMA Index, the business that we're picking up right now has very little relationship to the BMA Index. The new customers that you're talking about in China that we're working with on the Buchanan Coal, it is to use the word, to build a relationship, that's certainly very important to us. But what we want to do is to get them used to having this coal in their blend. A lot of these customers that are getting the coal have never burned the Buchanan coal before. And so getting them comfortable with it in their blends and then when the market turns and their demand goes up and hopefully, we can be putting more coal into this expanded customer base.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Good news for the future. And obviously, it's a huge benefit to be able to have that margin to play with in this market. Just moving quickly over to the gas side, can you remind us where we are in terms of getting the Noble carry and how much more $4 gas we need timewise? And then, how long does that last, is it 12 months before it can unwind if gas prices go back down?
James C. Grech: The way that the carry works in effect is 90 consecutive days above $4 on the NYMEX gets us in the carry. And then to be removed from the carry would require 90 consecutive days below $4 on the NYMEX. So if you look at the April forwards for NYMEX where we're at, looks good. May on out looks even better. So as we said earlier with David's comments and Brett's comments, our view is north of $4, we're assuming we're getting back into the carry at least, at this point in time, for the second half of 2013.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: And I assume it's a fairly frequent review as to whether you will increase or add a rig in dry gas areas this year or not?
James C. Grech: That's something we work through and discuss with our partner on the Noble energy side and we've had a lot of discussions about when we rationalize the drill plan when prices were dropping. Parallel to that, we had discussions regarding what the plans would be if and when gas prices strengthen. So I think we've got a general consensus on that. But right now, drill plans are, as I said earlier, 120 wells, 121 wells between the 2 of us and the majority of those will be in the wet area.
Operator: Our next question is from Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: First question for Jim. Interested in expanding on your comments released, the prepared remarks in the press release about Northern App's penetration into the central app market. Can you talk about some of the dynamics there and how real that might be, near and longer-term?
James C. Grech: Mike, right now, we've got about 6.5 million tons of our Northern App coal going down into the southeastern markets. And we have discussions that have started already, looking at more sales or adding to those sales into 2014 and beyond. So that's the extent that we've been penetrating, which for us is substantial. 6.5 million tons of our Northern App coal going down to the southeast is a large percentage of our tons.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: I appreciate that. And the economics on real and pricing make it attractive at the margin for back to the mine?
James C. Grech: Yes, Mike. The railroads have been rather aggressive on the pricing on the rail side to get the coal moving down into that market to backfill for the hole left by the Central App. And what we do with our pricing, now, Mike, is not just to that particular market, our Northern App coal, in total, as Brett said earlier, we mine it locally but sell it globally. So we look at the Southeast market as a potential destination for our coal but our Northern App coal right now is going to 13 different countries. We've got 53 different customers and it's a [indiscernible], it goes into the high-vol coal, goes into the PCI, it goes to the thermal coal. So all these different markets including the Southeast. And so we're building a portfolio that gives us the flexibility to send the coal to the southeast, because that's giving us the best netback to keep it in the PJM markets if that's the best netback or to look overseas in these other markets. So depending on the market and the netback and the timing, that's where we'll send the coal to.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Nick, on -- your drilling and lateral costs have been quite solid. Could you elaborate on trends going into '13, '14 as the mix shift occurs in the Marcellus with where you're attacking?
Nicholas J. DeIuliis: The unit cost when we talk about Marcellus and then maybe Utica -- on the Marcellus side, we are pleased with the cost performance over the past 2 years. This quarter, first quarter, when you look at the Marcellus unit cost, they were up, when you compare to year prior first quarter. But 100-plus percent of that increase was because of midstream items. It was firm transportation costs that we committed to and will be there for us when our production ramps up. And it was also the additional cost and -- with handling the liquids portion of our production once now we get into the liquids portion, the wet area, which, of course, has a margin expansion. And we're happy to pay that cost, because we get a lift in our price. So beyond those 2 items, our costs are actually flat to down year-on-year for the first quarter. And our expectation is when you look at things like our average drill cost and our stage -- frac cost per stage that we'll be able to maintain that cost control with some potential for improvement when that production starts to ramp up. On the Utica side, that's more of the learning curve earlier in the development, of course. And the primary focus initially is to get our drill and complete costs down to where we think they should be. They're still going to be on a finding and development cost basis. At this point in time, a bit higher than the Marcellus. But our expectation on drill and complete cost for the Utica is, right now, around $12 million, $12.2 million. And we hope to drive that ultimately, when we get the multi-well pads, down towards $10 million. So taking the experiences we've learned from the Marcellus and applying it to the Utica, with our partner, we're optimistic on that front as well.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: And to follow up on your comment about the firm transport. Can you maybe talk about transport takeaway capacity in the region? How it's helpful -- CONSOL's position versus competitors? And are you seeing more demand for some of the products from newer customers and the investment on the infrastructure buildout, et cetera?
Nicholas J. DeIuliis: The firm transportation in the Marcellus portion of our gas segment has not been an issue. We were, as an industry, lucky to have a lot of infrastructure already in place in that Western Pennsylvania and Northern West Virginia area. And that buildout has developed incremental capacity as well. So that market has materialized to handle the production and the future production for the foreseeable future. On the Utica, and with the non-methane, the heavy hydrocarbon side, that's still a work in progress. And you hear a lot of the announcements and a lot of the investments that are being made, but there's going to be a coordination that needs to occur there between the production growth ramp and the infrastructure. And we're watching that every closely, we've got a plan in place to manage that for our specific drill plan. On the demand side, the demand build continues for natural gas and for the heavy hydrocarbons and condensate. Some of that is very short-term demand build in regard to things like electrical generation. And some of it is much longer term but is very bullish when you look at things like transportation or the chemical industry coming to this region as you take, for example, ethane production. But because it's longer term and much bigger investment, there's a lot more uncertainty there on -- in terms of what level and when that timing will occur.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Excellent thoughts. And just my final question. Brett, maybe you can elaborate more on your thoughts on the acceleration of pricing strength, '13 versus '14. Is it more just the dynamics of coal producer discipline and a little colder weather? Or is there more overarching economic here or maybe abroad given your other opportunities looking at the world there? Are things changing, where maybe 6 to 12 months from now, coal demand and fundamentals improve internationally to help drive U.S. international pricing?
J. Brett Harvey: Well, coal's still the fastest-growing energy source worldwide, even in the downturn that we're seeing on the global basis. And the fact that we've got such a diverse portfolio, as Jim said, we're moving the same coal into the steel business, into the thermal business, into the thermal business in Europe. We have all these different places to put it on different continents and countries. And the domestic market, interestingly enough, as utility shifts to gas, when they come back to coal, the coal supply isn't there. And so when that coal supply is not there, that gives some leverage on well-capitalized companies like CONSOL that have the ability to feed the natural markets, but we have opportunities to do other things as well. So I think that's going to give opportunity on pricing. So diversity of marketplace really creates a lot of opportunity for this high-Btu coal.
Operator: Our next question is from Curt Woodworth with Nomura.
Curtis Rogers Woodworth - Nomura Securities Co. Ltd., Research Division: I was wondering if you could talk about the overall thermal portfolio in terms of Northern App, and what you view the breakeven sensitivity of your business versus a natural gas combined cycle plant? And also, have you looked at, on a plant-by-plant basis, what your exposure would be to some of the coal plants that have been slated to retire on 2014, 2015?
J. Brett Harvey: I'll answer the first part. It's $3.50 to $4 on the gas price. That's a real transfer on our region. I would say that's a good solid number. And you see that transfer happen. We're seeing it happen with utilities. And Jim will ask the second -- answer the second part of that.
James C. Grech: As those units start retiring in response to [indiscernible] at 2015, the generation demand will still be there on the coal side. And what we've done is we structured our portfolio that our customers are the larger units that have the pollution controls in place already, or are putting them in place, so that 2015 and beyond, our portfolio is targeted for customers that for units that are still going to be running. And we think those units right now have capacity factors that have a lot of upside in them. So we have designed our customer portfolio domestically to target units that will be there post 2015 and have upside in the capacity factors to consume more coal, to make up for the generation that's been taken off-line.
Curtis Rogers Woodworth - Nomura Securities Co. Ltd., Research Division: Okay. And on the asset modernization side, is there any way you can provide revenue or kind of EBITDA that could be associated with some of the midstream assets you're looking to produce? And in terms of the -- what you're going to do with the cash or just free cash on the underlying business, would it be fair to say that you're going to look to buy back more stock, given the disconnect you see right now?
J. Brett Harvey: Those are good questions. We won't talk about EBITDA and value until after we've made the deals, and we learned that. But there is a lot of value in these assets. I stress that we don't have to sell this stuff either. What we're doing is trying to find value for our shareholders as soon as we can. The second part of that question is, what do you do with the cash? In rising gas prices, and ability to hedge in rising gas prices, you look at reinvesting in this great asset base or you look at buying the shares back or some shareholder-friendly process. And we will take those ideas and really work them, because they're all shareholder friendly. And we see all -- both of those, even dividends, in a sense, are shareholder friendly. But we'll look at all of those things and make the right decision for our shareholders to get value as quickly as we can into our share price and then in the hands of our shareholders.
Operator: And next, we'll go to Paul Forward with Stifel.
Paul S. Forward - Stifel, Nicolaus & Co., Inc., Research Division: I guess back to Buchanan. Just -- your production in the quarter was well above the original guidance I guess 3 or 4 months ago. I was just wondering, when you consider that China has been so much of the incremental -- they've been the buyer, are you doing anything as far as shipping a higher ash product that might boost volumes? Or can you talk a little bit about quality at Buchanan relative to where it has historically been?
J. Brett Harvey: Paul, we have not been shipping any higher ash products. We've been shipping our typical, historical Buchanan spec, because, again, we want to establish Buchanan as its own brand, its own identity in China to have a long-term market and as many outlets for the coal as possible. So we've been shipping our typical Buchanan spec that we ship anywhere else to any of our customers.
Paul S. Forward - Stifel, Nicolaus & Co., Inc., Research Division: Great. And on the strategy commentary, there's a pretty firm statement that once you're -- once you've got BMX complete that you'll be at $5 to $6 per ton maintenance CapEx and then the additional cash will go over either into returning cash to shareholders or to the gas business. I was just curious, you painted a pretty supportive picture for pricing in Northern Appalachian coal over the next 6 to 12 months, let's say. And BMX will be up and running April 2014. Brett, I was just wondering if you could talk about if the market -- if coal markets turn, if they change in a very positive way over the next 12 months, how firm is your commitment to really not beginning projects in coal or certainly not buying assets in coal or buying other companies in coal. Coal has a way, I guess, of presenting some pretty lucrative-looking projects when the market is strong. I was just wondering if you could talk about your longer-term strategy in allocating capital toward the coal business.
J. Brett Harvey: Well, 2 things. One is we have capacity, and we'll bring that capacity online as a market, but we're not going to do it at low, low spot prices. We don't need to practice. Our capital's in the ground, and we'll bring it out when it's ready to go. So in the short term, we have capacity to meet markets that would grow and some opportunities to get a higher pricing. And with low inventories across the northern -- northeastern part of the United States, we think there's an opportunity to do that. Now longer term, we have 4.2 billion tons of coal. We don't need to buy anybody else's coal. We're already in the low-cost sweet spot, I think, in the Eastern United States. We would look -- these things evolve over time, but right now, it's clear to me by talking to the shareholders that our coal position is strong. Why would you dilute it? We just expanded it by 8%. And it's very difficult to open a mine and have assured rates of returns. Fortunately, BMX is the lowest-cost mine in the region, otherwise, I'd be worried about that mine coming into this marketplace. So I think if you look at the asset base, it's solid. If we grow, it would probably be from within. But I don't see the near-term future. And I think we can harvest what we have and do very well.
Operator: The next question is from Meredith Bandy with BMO Capital Markets.
Meredith H. Bandy - BMO Capital Markets Canada: So I'll take another stab at the potential sale of core assets on the transportation side. Can you give us any idea of -- are you looking at gathering or transportation assets on gas, or you're looking at both? And just in terms of your portfolio, what is the size of the volume capacity that you have available to work with?
J. Brett Harvey: Well, we own the gathering and the transportation of most of our gas production now. We've built it out for future growth. And it's an asset that we don't believe is valued in our share price. So we're looking at a way to monetizing that to our shareholders' value. Other than that, I don't want to be specific about size and where they're at, because we would announce it when we do the deals, but we do have plenty -- we're a good-sized company. Nick, do you have any specific numbers on that?
Nicholas J. DeIuliis: Maybe one way to think about the midstream side on natural gas, just to look at one subsegment of our gas segment, look at the Marcellus, what we're doing with Noble. This past quarter, we were somewhere on a CONSOL-only basis of around 120 million cubic feet per day average flow rates. So that doesn't count our coalbed methane up in the northern tier of our coalbed methane assets or the conventional gas. That's growing, of course. Noble would be about the same. So our joint infrastructure there, think of it, 240 million cubic feet a day average in the first quarter, just on Marcellus alone, which is ramping up. And then you add to that things like conventional or the legacy CBM in the Northern Appalachian portion of our segment. You get a feel for the growth trajectory on the capacity of these midstream and processing assets.
Meredith H. Bandy - BMO Capital Markets Canada: So the size is really built for your business? There's not a whole lot of third-party on it?
J. Brett Harvey: That's correct.
Meredith H. Bandy - BMO Capital Markets Canada: And then can you just remind us on -- and same thing with the transportation on the coal side. Where do we stand with the expansions and potential expansions on your port capacity?
Nicholas J. DeIuliis: The -- Meredith, the expansion at the Baltimore terminal was completed, so -- and that gets us up to about a 15 million ton per year throughput capacity. So that's done.
J. Brett Harvey: And that was done last year.
Nicholas J. DeIuliis: Done last year, yes.
Meredith H. Bandy - BMO Capital Markets Canada: Wasn't there another phase that you were looking at, or no?
Nicholas J. DeIuliis: There was some talk about taking an expansion beyond this expansion, which would be a substantial undertaking to do that. And we had discussed that, but there really -- there is no plans in place to grow any larger than we are right now.
Operator: And next we go to Chris Haberlin with Davenport.
J. Christopher Haberlin - Davenport & Company, LLC, Research Division: In the release, you noted some promising macro indicators in China that suggest a market recovery in the back half of the year. Can you just elaborate on what you're seeing there?
Nicholas J. DeIuliis: Yes, Chris. We focus on 2 -- I mean, there's lots of indicators in China, but 2 that we have found to have a correlation that as they show some increase that, subsequently, we'll see some increase in coal demand is the new loan growth numbers. And if you look at that, there's been a tremendous jump from February to March, 71% increase, February to March. Year-over-year it's about 5.7%, which is also a nice increase so that new loan growth number is getting back up to where it was historically and month over month was a huge increase, 71%. The other one that we look at is the M2 money supply, total cash circulation. And the new loan growth feeds that. And that also in March has risen and is up to about 15.7%. So what this increase in credit historically has meant a means to fuel growth later in the year, so that's what we've been looking at, Chris.
J. Christopher Haberlin - Davenport & Company, LLC, Research Division: And then staying on China, it sounds like you all have done some business -- or significant amount of business with the Chinese over the past quarter. I guess, a lot of the trade rags have suggested that the Chinese have really been out of the spot market since Chinese new year. Is that consistent with what you're seeing? And if so, when do you think Chinese buyers might return to the market? And how is that going to impact the pricing dynamics?
Nicholas J. DeIuliis: Chris, it's consistent and it wasn't as strong -- the demand is not as strong as it was, say, in January and February. But there are still some spot cargoes that are being sold. We've sold one in April. We've just actually in the last 24 hours concluded another spot cargo for May. So the demand is not as strong as it was, but it's still there. Now, your -- second part of your question was when do we think we can see an upturn? The indicators -- the leading indicators that we talked about I just mentioned, we're thinking that maybe as you get later to the end of the second quarter, the results of that money coming into the economy, is going to lead to growth and we'll start to see an uptick in demand. But that's our estimate, but there's a lot of estimates on that. It's a tough one to call, Chris.
J. Christopher Haberlin - Davenport & Company, LLC, Research Division: And then just last one for me, with Northern App customer inventories below normal levels, what are you hearing from your customers about a potential return to the spot market this year? And would that represent upside to your thermal guidance?
Nicholas J. DeIuliis: Well, Chris, the inventory picture, there's 2 sides to Northern App. There's our inventory picture, which Brett mentioned. And I'd like to give you a couple of numbers around that just to give you some example of what he's talking about. And then I'll talk about customer inventories. In the Northern App, in our Marshall area, we've got 10 longwalls, and it has about 2 million tons of inventory capacity across all of those 10 longwalls. And March 10, we only had 161,000 tons of coal in the ground. So 10 longwalls, that's 50 million tons a year production, 2 million tons of inventory, and we only had 161,000 tons of coal in the ground. There's actually a point in the beginning of March, where our 3 West Virginia rail mines, Robinson, [ph] Blacksville and Loveridge at the same time had 0 inventory in the ground with this, something that's never happened. So our mine inventories are as low as they've ever been, and the demand, the pull from them, Chris, has been very steady from our customers. Now, if you go to the customer side of the inventory, you mentioned that. The PJM inventories that we look at, the 5-year average right now is usually about 23 million tons, and we see it to be about 18 million tons. So the inventories are below the 5-year average. And what that means for us at CONSOL, well, of our domestic thermal coal, 78% of it, goes into the PJM. So our mine inventories are low, the PJM inventories are low, that's our big customer base. You take that, and you put the plus $4 gas prices, and we think the platform is there for some upward price movement. Now we're in some shoulder months here. And we see inventories coming down. We've done a few spot sales to customers. We're getting, I'd say though, Chris, we're getting more phone calls and discussion now. We haven't transacted a whole lot more, but we're certainly getting more interest.
Operator: And next we go to Andre Benjamin with Goldman Sachs.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: I know it's a little early in your drilling program, but in the Utica, I was wondering if you can maybe talk a little bit about how you're thinking about the exploration potential to prove that the play is economic, given what you do know at this point. And then how much of the production shale in the areas where you're focused are likely to be mostly oil versus NGR rich?
J. Brett Harvey: The Utica effort for 2013 really can be broken down into 2 groups. So one group is what we consider -- and our joint venture partner considers to be core. So when you look at the 27 wells that we have planned for this year, that's where the bulk of that activity is going to be falling in. So that's areas like Noble County, or in the Hess operated areas. The counties that they're operating in, including places like Harrison. The second group of the Utica activity has been what I'll call the exploration delineation effort outside of those already identified 4 areas that we just mentioned. And we've reported results over the past couple of quarters on some of those wells that have been drilled and that we're testing whether it's Tascarawas County or Mahoning or Portage. And the shows there have ranged from heavy on the oil side to a combination of condensating oils to oil and gas mix, just depending on where in the window we are. Same for the core area too, when you look at somewhere like Noble County. So we're getting a -- we're convinced of the core, we've got a 27 well program to unlock value and get the returns for the shareholders on that, in conjunction with Hess. And we're getting a lot more knowledgeable on the area outside of what we currently deem core to figure out where we want to focus upon in the future moving forward. When you flip over to the cost side, the cost trends have been going in the right direction. If you look at capital, we had some early wells in the program as you might expect like the rest of the industry that were very high on drill and complete cost. Those have steadily come down and come down significantly. This year we're looking at just over $12 million drill and complete cost per well. We hope, as I said earlier to get that down close to $10 million, when we start to move some multi-well pads. That's the analogy that we can borrow from Marcellus. And that gives you -- looking at some conservative well profiles and lateral ones, that gives you somewhere around $1.25 find and development cost. So the economics is there, we've got the bulk of our 27-well program in what is already deemed core, and we've got now the data coming in from these other areas and other counties to see what else falls within that core area once we get those results.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: And then on the thermal side, I apologize if I missed this. I know the Bailey coal, you like the fact that you can move it in and out of there as markets both domestically and internationally. If thermal prices were to stay where they are today versus the press release, I think you indicated $100 would be where you thought you can get more active. How should we think about thermal exports year-over-year and maybe over the next couple of years, if we don't see much improvement?
J. Brett Harvey: The $100 that you're referring is the EPI 2, which of course, we have to net back. It would be nice if the mine price was $100. I think -- we said as approaching $100 so let's see how -- with the netbacks that we're getting and the Btu of our coal which -- high Btu travels well, I think if you get to the $94, $95 range, we would start having interest in sending coal to Europe versus some of our other current alternatives that we have, being some of the high-vol markets in other countries. And so anything above $94, $95 is starting getting our interest, should we start flipping the tons over to Europe versus sending it to other markets. Does that answer your question, Andre?
Operator: And that will be from Caleb Dorfman with Simmons & Company.
Caleb M.J. Dorfman - Simmons & Company International, Research Division: I guess, first off on the high-vol market. You have some pretty encouraging commentary about new customers actually testing the coal. When do you think we'll actually start seeing them adopt it in a larger scale? And could you expand on the -- what were guidance levels for shipments in 2013?
J. Brett Harvey: Yes. The high-vol -- the testing, we've had actually some testing here domestically. We have it going on in Brazil, it's both the high-vol and the PCI coal and we've sent some samples over to India for 3 different potential customers in India. So the market, we are trying to develop it. As far as when they're turning into sales, we've actually just concluded a high-vol sale post the press release, just happened within the last 24 hours. A substantial high-vol sale to Korea, almost 700,000 tons of coal. So that is not reflected in our press release. So this expansion of the high-vol and new customers trying it or existing customers wanting to take more, we think we're really on -- we've been very successful. It was developed well last year. And we still see room for it to grow as far as other opportunities around the world for us.
Caleb M.J. Dorfman - Simmons & Company International, Research Division: I know that you mentioned that you have a lot of opportunities for that Bailey coal. If you had to look at it right now from a price basis, what's the most economical opportunity? And from a customer relationship basis, how do you balance that out between the domestic thermal market versus European thermal market versus Bailey high-vol products?
J. Brett Harvey: Yes. Really, at this point in time, all of those markets are trading, I would say, within a $5 a ton range. But we've been stepping that range up a little bit with the increase -- the shortage that we have and increase in demand. So since there's been -- within a $5 a ton range between any of those markets you talked about, we've been flipping it. We've sent some to Brazil, we've also just taken as well recently some domestic thermal sales, another 233,000 tons of domestic thermal sales. I mentioned that we've sent the coal over to Korea. So again, the range is very tight, it's within $5. And depending at that point in time, what we have production and what's available and the market opportunities, we make the choice at that time.
Dan Zajdel: Could you instruct our callers on how to access the replay, John?
Operator: Certainly. And ladies and gentlemen, the replay starts today at 12:30 p.m. Eastern but lasts until May 2 at midnight. You may access the replay at any time by dialing (800) 475-6701 or (320) 365-3844, and putting in the access code, 286963. And Mr. Zajdel, any closing comments?
Dan Zajdel: I just want to say that, thank you, and Tyler and I will be around the rest of the day. If you have any questions, we'll be happy to take your calls. Thanks very much for listening.
Operator: Ladies and gentlemen, that does conclude your conference. Thank you for your participation. You may now disconnect.